Operator: Good day and welcome to the Second Quarter 2017 Minerals Technologies, Inc. Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Rick Honey. Please go ahead.
Rick Honey: Good morning, welcome to our second quarter 2017 earnings conference call. For today's call, Chief Executive Officer, Doug Dietrich, will provide an overview of our results and our strategies to drive growth, and Chief Financial Officer, Matt Garth, will follow with a more detailed review of our financial performance. I'd like to remind you that beginning on Page 13 of our 2016 10-K, we list the various risk factors and conditions that may affect our future results. And I will also point out the Safe Harbor disclaimer on Slide 2 here. Statements related to future performance by members of our team are subject to these limitations, cautionary remarks, and conditions. Now I will turn the call over to Doug.
Doug Dietrich: Thanks Rick. Good morning everyone. First off I want to start by announcing that this will be Rick's last call with us. After one or two attempts which we successfully floated he is officially retiring in the next few weeks. I want to say that all of us here at MTI are enormously grateful for his contributions to the development of the company over the past 25 years. Amazing this is his 93rd earnings call of MTI. We are certainly going to miss his voice kicking things off each quarter and having him with us when we're out visiting with each of you. Rick, thank you. Okay. Let's move on by hitting some of the highlights of the second quarter and review the operating performance of our minerals and services businesses. And I'm going to give you an update on innovation in MTI. The progress we're making with new product development and the potential that it provides for our future growth. And finally, I'll turn it over to Matt Garth for a more detailed review of our second quarter financial results. We recorded solid financial performance for the second quarter posting earnings of a $1.23 per share, a 3% improvement over last year, and a record second quarter EPS for the company. Our sales levels were similar to last year as the growth we saw across the majority of our mineral product lines was offset by lower sales in environmental products, refractories, and North American Paper PCC. Yet we drove operating margins to match the highest in the company's history at 16.8%. Our minerals businesses performed well with the majority of our minerals product lines growing this quarter over last year. We continue to execute on the opportunities for growth in China with overall sales there of 17% which was driven by growth in both Paper PCC and metal testing. Operating margins for the combined minerals businesses remained solid at over 18%. Our services businesses also had a strong performance with margins of more than 13% despite lower sales levels. Global steel markets have stabilized however offshore; oil and gas markets remain volatile. We maintained our focus on debt reduction this quarter paying down $33 million in principal. Over the last three years we repaid over $530 million in debt, which has improved our balance sheet considerably and has opened up additional opportunities for capital deployment. We also continue to strengthen the operating foundation and culture of the company through our continuous improvement activities that remove waste from our processes. A number of improvement suggestions received from our employees has increased by 22% this year and we've held more than 2,900 Kaizen events, an increase of 48% compared to this time last year. Our expense reduction lead team one of our four global policy and culture setting teams is in its 10th year and continues to have a tremendous impact on the company. This Group identifies and executes cost savings ideas both big and small and to give you an idea of the impact this team has, last year these ideas saved the company more than $3 million. I continue to spend much of my time aligning the organization with our vision and growth strategy and focusing everyone on activities to accelerate sales growth. I have made significant changes to our leadership and sales organizations globally and have invested strategically in sales generating resources as well as sales support structures to drive organic growth. Here's a chart of our sequential earnings for the past several years. Earnings this quarter $1.23 per share are up 3% over last year again a record for any second quarter. This chart shows our quarterly operating income and margin over the past several years. Our operating margin of 16.8% is also a record second quarter and was driven by a strong profit generation from both minerals and services business. Let's review our two mineral segments Specialty Minerals and Performance Materials. The chart on the lower right delineates the product lines contained in these segments and the relative size from a revenue standpoint. We saw growth across the majority of our minerals product line. In Performance Materials, our Metalcasting business is having a strong year globally. Year-to-date sales improved 11% over last year driven by nearly 50% growth in China where we continue to penetrate the foundry market with our pre-mixed blended bond systems. We also recently launched a lightweight cat litter formulation in China which is gaining traction in the marketplace. In our Fabric Care business, we recently launched a new additive product we produce at one of our plants in the United Kingdom that will contribute to our sales throughout the remainder of this year. We also saw improved sales in building materials this quarter as large construction projects began to ramp up. And sales in our drilling products to built oil and gas and non oil and gas applications grew 39%. Lower sales in environmental products offset this growth because of fewer larger mediation projects compared to last year. But despite the reduction in large projects, we're seeing our new technologies such as Resistex become more widely recognized as the most cost effective solution to environmental remediation challenges. This has resulted in a stronger project pipeline including in China. In Specialty Minerals, paper PCC volumes in North America will lower this quarter, however the business continues to grow in Asia with volumes up 16% over last year. A pipeline of new opportunities around the world for our PCC technologies remained strong. In this quarter we signed an agreement for our FulFill D Technology with a North American paper maker and we continue to gain traction with our new yields, coding formulations, and paper recycling technologies. We are starting construction of a new satellite in Indonesia along with expanding our existing satellite there. This project will add 165,000 tons of capacity, a 12% increase in our current installed base in the Asia region. This capacity should come online late in the second quarter of next year and set up 2018 as a growth year for our paper PCC volumes. We also saw growth in our specialty PCC, ground calcium carbonate, and talc product lines this quarter and we see continued strong demand for these products. In fact we're working on several production capacity expansions to keep up with customer demand. These expansions should also come online in 2018. Now take a look at our services businesses Refractories and Energy Services. Sales were lower in both segments this quarter yet operating margins remained solid at more than 13%. Global steel markets remain stable; however Refractory sales were impacted this quarter by changing furnace conditions and furnace relines which temporarily lower customer refractory consumption. Offsetting this was our equipment business which is having a strong year and has grown sales over last year through geographic expansion and the commercialization of new laser technologies. We're also making progress of the deployment of the new high durability refractory product portfolio which is gaining broader market acceptance, demonstrating that it can deliver significant value to our steel making customers. In Energy Services offshore oil and gas production remains relatively weak and filtration service sales were lower than expected as flow back work was limited in this quarter. Well testing services remained relatively stable throughout the quarter. On the technology side, we're developing new offshore filtration solutions for difficult produced water issues. We've also developed a unique comprehensive produced water diagnosis method for offshore production platforms. Thus far results are promising for this new diagnostic tool which has proven valuable to several initial customers and has helped generate both additional service work and equipment sales. Since several quarters since we've reviewed with you our new product development pipeline pillar of our growth strategy. And I'm pleased to report and we've made significant progress with the development of many products over the past couple of years. And cash heritage was built on a foundation of solving customer problems through innovative uses of minerals. Understanding customer needs, helping them to reduce costs, improving their quality or enhancing their product offerings has been and will continue to be the basis for fuelling our R&D engine. Since the AMCOL acquisition, we've accelerated product development activity at all stages of our product development pipeline, increasing the number of new ideas and products at each stage over the past three years. This acceleration is a direct result of the linkage of our expanded R&D resources and technologies around the world since the acquisition. Some highlights to note. First, we have 31 new products in the pre-commercialization stage a similar level to last year but almost double the number compared to 2015. Second, the potential value of the products in stages three to five of the pipeline which are the stages where new ideas become funded and developed in the commercial product is over $700 million. Of course for a variety of reasons not all of these products will make it fully to market or reach their addressable market potential. But at historical rates approximately 65% of those that reach stage four will make it to commercial products. This is a result of our process of closely tying new ideas directly to customer needs. We use a lean approach to product development just as we do with our manufacturing and business processes. For example, we apply a rigorous screening process at stage three where we decide whether or not to fund new ideas. This approach directs our focus and spending on the products with the highest potential and eliminates time spent on projects that are not valued by our customers. Third, each of our business units are well represented with products and ideas in the pipeline. In Specialty Minerals, were working on new technologies in filter coding and pigments, advancements in our high filter technologies as well as technologies that address customer issues elsewhere on the paper making side. We're also working on innovations in mineral synthesis and processing as well as new nanoparticles for use in a wide range of applications in automotive, construction, and consumer products. In Performance Materials, we're developing new bentonite clay based products for consumer products, agriculture and environmental, foundry and construction markets. Across all stages we have products in development to address animal health and care, new filtration technologies for water and food and beverage, advanced metalcasting formulations, higher value fabric care technologies, and new soil amendment formulations. In Refractories, I spoke earlier about our new high durability refractory materials. We are also developing advanced laser measurement technologies to bring even more sophistication to the steel making process. In Energy Services, I mentioned our new filtration technologies and produced water diagnostic service offering that's been deployed around the world. Fourth, many of our new products are targeted at opportunities for applications specifically in China, India, and Southeast Asia. The company’s efforts to our China lead team combined with our eco partnership with Tsinghua University and Sun Paper have opened up a number of opportunities for our NewYield process technology that converts a paper mill waste stream into a usable pigment. And for our geo-synthetic clay liners for coal ash and red mud containment and riverbed remediation, as well as our Enersol products for to improve crop yields. Historically approximately 15% of our revenue is generated from products commercialized in the past five years. It's also on average has taken us about four years to move an idea from -- from an idea to a commercial product depending on the business and product type. To accelerate our growth, we've set targets to reduce the product development cycle time by half and significantly increase the number of ideas in the pipeline. To achieve this, we're working on deeper engagement with our customers to better identify their needs. We also continue to further refine our product development process. Many times that requires boats sailing faster and development of some products to accelerate development of products with higher potential. We've already made significant progress towards these goals and in the past few years, several of our businesses have shortened the product development cycle time from an average of four years to three years. In summary, we believe that we have a very healthy new product pipeline with a highly disciplined stage gate development process. We talk a lot about our geographic expansion activities and how they are significant engine of our organic growth. But new product development has been and continues to be a core capability of the company and an equally significant driver of our future growth. So here's how I see the next several quarters shaping up from a growth standpoint. First, we're making solid progress on our geographic expansion initiatives, our businesses are growing in China, the rest of Asia, and in South America. We've strong customer demand in our mature markets for both existing and new products. We have several new capacity expansions in the works within our Minerals product lines and will come online in 2018 to support this growth. Second, the new technologies and products that we commercialize over the past year are gaining traction in the marketplace in each business unit. And we recently launched several other new products in fabric care, pet care and refractories, each should continue to grow as we move toward the end of this year and into 2018. Third, our balance sheet is in a much stronger position than it was two years ago. We've de-levered significantly since the acquisition, we've always taken a balanced approach to allocating capital, and our lower debt position gives us greater options and flexibility to deploy that capital. The fundamentals of the company are very solid, operating performance, cash flow generation, new product development, market positions, employee engagement, and we have multiple levers for growth. Across both our minerals and services businesses, we're building sales growth momentum through capacity expansion, continued geographic sales growth, and a healthy pipeline of opportunities for our newest technologies. I see this momentum carrying us solidly into the second half of this year and into 2018. Now I’ll turn it over to Matt for a more detailed review of the quarter. Matt?
Matt Garth: Thanks Doug and hello everyone. I review our second quarter results and performance of our four segments and also provide you with our outlook for the third quarter. We delivered solid financial results in the second quarter with earnings per share of $1.23 which was 3% higher than 2Q last year and a record for our second quarter. Our reported earnings were $1.21 per share. In the second quarter we achieved strong growth in many core product lines, metalcasting sales increased 11% due to a 48% increase in China and a 4% improvement in the U.S. Basic minerals and building materials sales were each up 3% and process mineral sales increased 2%. We also experienced growth in our drilling product sales up 39%, while pet care was up 2%, and personal care products grew 3%. However the growth in these product lines was more than offset by the year-over-year decreases in North American paper, environmental products, and refractories. Operating income decreased 1% to $69.5 million. However on a constant currency basis, operating income was slightly higher than last year. Operating margins improved 2% to 16.8% which as Doug highlighted equals the highest in the company's history. This result was driven by increased sales in several key product lines improved profitability we drove in Energy Services and Refractories and a 4% increase in productivity across the company. Our effective tax rate in the quarter excluding special items was 23.8% and we expect that our full-year effective tax rate will be approximately 25%. Cash flow for the quarter was strong at $61.7 million bringing cash flow for the first half to $77.6 million. As Doug noted, we paid down $33 million in debt in the second quarter and our net leverage ratio is now under 2.5 times. As highlighted in the operating income bridge, our services businesses, Refractories and Energy Services delivered strong operating increases on a year-over-year basis. In our Minerals businesses lower due to decreases in environmental products which now sits in the Performance Materials segment and paper PCC sales. Let's now review our segments beginning with specialty minerals. Specialty minerals sales decreased 2% from last year due to the previously mentioned North American paper mill closures that occurred in 2016 and several extended maintenance outages at our U.S. customers. This impact was partially offset by 6% increase in China PCC sales driven by the ramp up of the Sun Paper satellite. MTI Global PCC volume and revenue growth should return in the second half of this year as we eclipse the U.S. closures and our Asia volumes continue to grow. Our Processed Minerals and specialty PCC product lines grew 2% on strong customer demand in the transportation and construction markets. These markets also helped to raise talc sales by 1% despite lower sales in our healthcare product line. Operating income decreased year-over-year to $26.9 million due to the lower PCC North America sales and higher energy costs in our Processed Minerals businesses. The segment achieved productivity improvements of 8% which helped to overcome the lower sales and maintain strong operating margins at 18.3%. Looking to the third quarter, we expect paper PCC operating income to be slightly higher sequentially on increased volumes particularly in Asia. In performance minerals, operating income will be lower than the prior quarter due to the typical seasonal sales decreases, we experienced late in the third quarter. Overall for the segment, we expect operating income to be lower by approximately $1 million to $2 million sequentially. Now let's turn to performance materials. Sales in this segment decreased 1% compared to last year. As stated earlier several product lines in performance materials delivered solid growth year-over-year, most notably sales in metalcasting increased 11% on strong performances in our China and U.S. markets. Again building materials, sales were up 3% and basic material sales also increased 3% due to the higher drilling product sales. Lower fabric care sales in Asia and lower global environmental product and bulk chromite sales fully offset the strong gains across the rest of the portfolio. The decrease in environmental products sales year-over-year was primarily driven by large projects in the second quarter of 2016 not recurring this year. As Doug noted, we've made advances in growing our global sales pipeline in environmental products and expect improving sales performance in this business, as we execute on capturing pipeline opportunities. Also our fabric care sales are ramping up as the customer changeover to our new product line begins. Operating income in the segment was $32.2 million and operating margins were solid at almost 18% versus the prior year quarter higher volumes in metalcasting and drilling products were fully offset by the lower sales in environmental products, bulk chromite and fabric care. Looking to the third quarter, we expect operating income to be similar to the second quarter based on the strong drilling product sales, increase fabric care sales, and a consistent metalcasting performance which will depend on demand levels in the North American automotive market. These increases will be mostly offset by the typical seasonality we experienced in the construction and environmental markets. Now take a look at Energy Services. In the Energy Services segment, sales decreased year-over-year by 11% largely due to the exit of our onshore service lines in the second quarter of 2016. We also experienced weaker filtration sales as activity in the Gulf of Mexico did not pick up as anticipated which was partly driven by tropical storm related delays. Operating income was $1 million compared with a loss of $700,000 last year and represented 5.6% of sales which brings our year-to-date operating margin to 8.2%. Continued benefits from our restructuring efforts taken last year and a strong performance in our capital sales product line are driving the year-over-year improvements. Looking to the third quarter, we expect operating income to be similar to the second quarter. However as you are aware we primarily serve the global offshore rig market with roughly 60% of our sales concentrated in the Gulf of Mexico. Any adverse seasonal weather conditions in the Gulf may impact our performance in the quarter. Moving to Refractories, in the Refractory segment, sales decreased 7% to $68.9 million while operating income and margin both increased. Sales of our high technology laser measurement systems were more than offset by the lower metallurgical product sales but the market remains very competitive. Steel utilization rates in the U.S. were the same as the second quarter of last year and 1% higher sequentially; however maintenance outages and the change in our customers furnace conditions reduced consumption of our refractory products. Operating income increased 2% to $10.5 million and was 15.2% of sales compared with 13.9% of sales in the prior year. Operating margins improved due to the higher level of laser measurement equipment sales and also strong manufacturing productivity. Looking to the third quarter, we expect operating income to be lower by $1 million to $2 million sequentially as we do not expect the same level of higher margin equipment sales to occur. So now let me summarize what we are seeing for the third quarter. In Specialty Minerals, we expect operating income to be lower by approximately $1 million to $2 million sequentially. In Performance Materials, we expect operating income to be similar to the second quarter. In Energy Services, we also see operating income as similar to the second quarter. And lastly in Refractories, we expect our operating income to be lower by $1 million to $2 million sequentially. In total, MTI's third quarter earnings are expected to be $1.15 to $1.20 per share. Now let's move to the Q&A. Operator, we are ready for questions.
Operator: Thanks. [Operator Instructions]. And we'll take our first question from Dan Moore with CJS Securities.
Robert Majek: Good morning. This is actually Robert Majek filling in for Dan this morning.
Doug Dietrich: Hi, Rob.
Robert Majek: PCC volumes remain under pressure, when do you talk tough comps from last year's capacity declines in North America and kind of when do you expect to turn the corner deposit overall?
Doug Dietrich: I'll take that, so those shutdowns that occurred last year Robert are largely ended in about in the May, June of last year. So we've just eclipsed that, I think in Matt’s comments he shows that those will improve in the second quarter. To give you a little idea our growth in Asia completely offset -- our growth in Asia this quarter completely offset the declines in North America in the quarter. So volumes this quarter were flat but that 16% volume growth offset those shutdowns from last year. And what we see is going through the remainder of this year that growth coming back so in Q3, Q4, and then certainly into 2018, as we put in 165,000 tons of capacity in Asia. On top of that, I’ll let you know we have a pretty strong pipeline it's an activity going on in our Asia region for some potential new satellites and we're working on those as we do all the time and we're hopeful that we'll get some more satellites to build next year as well. So that sets up 2018 as a good strong growth year for paper PCC volumes and we'll see some growth in second half of this year.
Robert Majek: Thank you. And then switching gears, can you point anything causing the declines year-over-year in fabric care, household and personal care products do that softness might be temporary and has there been any change on the competitive landscape there, any color would be appreciated?
Doug Dietrich: Sure. We've mentioned this on our fourth quarter call, I believe it was we had a surfactant granule to major customer they were changing technologies. So that technology change was about six months and so we've moved through that in the first half that's the largest decline in that one product to that customer. Offsetting that through the remainder of this year is a new technology that I'll let Gary talk a little bit about that, that new technology is ramping up as we speak and should provide some good growth throughout the remainder of this year and into next. Gary, why don't you give us an idea of what that technology is?
Gary Castagna: Yes, good morning. We will be -- we actually are already in the process of shipping a optical brightening agent to a major multinational and dry laundry detergent and that was in the plan as Doug said, we had a sunset of one technology and bring another separate type of technology and the optical brightening agent we're pretty excited about not only for this initial phase for the current business but to take advantage of that technology to other applications in the emerging market areas especially where dry laundry detergents are still on the increase. So we expect to see the down slope we saw on the first half of the year made up in the second half of the year and beyond.
Doug Dietrich: And Robert further to that, we've got a surge in that technology pipeline, there are other fabric care technologies in there that we're working through and we're going to continue to that's going to be a core area for the household and personal care product lines. So in that product lines is pet care, pet litter but that fabric care business is going to show some growth throughout this year and certainly into next.
Robert Majek: Thank you. That's helpful. And lastly from me Doug you made some changes briefly to your line the leadership and kind of changes in incentives to try and improve organic growth, can you just update us on the progress thus far and are there any tangible benefits you can point to and when would you like to see meaningful change in the area of growth?
Doug Dietrich: Yes a couple of things have changed so far this year, you remember we combined two segments the former construction technologies and put them into one segment called Performance Materials. With that came some significant organizational change, part of that was in China where we have a very strong leader in that region that's taken over those all of those product lines and that's really the focus the decisions in the region locally with customers. So we can move a lot faster with trial activity, with customer needs and concerns understanding issues and moving a lot faster with developing sales. And developing sales both in metalcasting, developing sales in our new pet care products, those are all of them combined and in particular Resistex and our environmental solution and I mentioned in my comments that we're seeing a healthy pipe -- uptick in the pipeline of opportunities for that Resistex for coal ash red mud and more recently riverbed remediation. So that was one area that you put together. Behind that though, I will give you the manufacturing organizations of the two businesses have been combined and the reason we did that is there's a lot of synergies in terms of the plants, similar plants where these products are produced, where the bentonite clay is mined and refined and processed they're going into these product lines. And to really unify and strengthen that manufacturing organization across that whole segment, where some of the synergies that I saw capable and that though it's not over a word of sales, it's really in support of cost structures and being much more competitive with cost structures to get those products to markets faster. That's in that one segment. We made some other changes we've had a couple of new leaders joining the team Kevin Porterfield taking over performance minerals business probably before me but Brett Argirakis is running our Refractories business made a couple other changes in specialty minerals recently. One of our -- the Head of our Paper PCC business has left the company and we've D.J. Monagle who is running that business directly right now. And we've got a really strong team behind him and that's what I mentioned we have a lot of potential in our pipeline. So, a number of changes both at the top levels I mentioned in my comments I've been selectively putting in sales and even more so, technical sales in regions that I think will help get that closer connection to customers. So, I gave you a lot there but it's both from manufacturing, support structures, direct sales, and leadership changes in the company.
Operator: And we will take our next question from Rosemarie Morbelli with Gabelli & Company.
Rosemarie Morbelli: Good morning everyone. Great. Welcome back even for a short time, glad to hear your voice. And Doug following up on the previous question regarding growth based on the changes that you have just made what type of top-line growth do you see in terms of improvements or past performances just based on the changes not based on your product.
Doug Dietrich: Well, it's hard to quantify and give you, okay, what I think those particular changes will deliver. Rosemarie I've always believe that the -- the inherent growth rate of this business is in the high-single-digits and I was commenting this morning and we also diversified we see, a really strong business, a really strong growth in our Metalcasting business. One of the larger product portfolios grew to 11% so far this year. And then you had temporarily with some -- some declines in Refractories and some energy service work that shift around. So, we do have some diversity of product line but I do believe that with the environmental products and the opportunities we have around the world with paper, with the refractories and new product development with what's behind that technology portfolio, the structure that I've put in place will accelerate those to market and I think getting a lot closer to the customer bring that sales and I think getting closer and pushing driving closer to that, what I think that inherent growth rate of this business is organic growth rate of this business.
Rosemarie Morbelli: So you are expecting organic growth of 8% to 9% is that what we are talking about?
Doug Dietrich: Those are high-single-digits, yes.
Rosemarie Morbelli: High-single-digits.
Doug Dietrich: I think Rosemarie; I think you'll -- I actually think you could see in the third quarter, you can see a 5% growth now I'm going to tell you that that's probably off of a bad comp. So, I'm not going to say it's real. But I think you're starting to see some of what's going on with our drilling products at 39%, you've got our paper PCC business should return to growth and we've got a lot of capacity next year. Putting expansions into that Performance Minerals business which is growing at two and three right now but I think those expansions will drive it up to 4%, 5%. So, I think things that we're doing and I’m telling you it's coming, it's coming but in the third and the fourth quarter but certainly I see activities that we're doing today into 2018 pushing things up, above the two and three that were giving net of foreign exchange into the five-plus-percent.
Rosemarie Morbelli: That is very helpful. Thank you. And if we look at environmental, if I remember probably last quarter, there were two large projects which were delayed are those projects are still kind of lined up before being done or is it in the second half or are they pushed until 2018.
Doug Dietrich: So let me give you a little bit of the ins and outs in the quarter and then maybe Gary Castagna again can give us a little bit more color on what's going on in environmental products. Last year we had a very large red mud project that was through the second and into the third quarter. We -- they don't occur all the time around the world. Right now, we're really focused on one or two major customers and the work that we're going to get closer to only the large non-Chinese aluminum producers and coal fired power plant electricity producers. When you're with a very narrow group of customers you're going to get lumpy sales. As we build out our capability and build out this technology and have it more recognized with broader customers that pipeline will fill out with more opportunities and we'll see a more regular flow of product work and I won't be here saying it's a lumpy environmental products up and down every quarter. Gary may be give us a little what's going on some of the resources we put into that business or what I'm talking about in terms of direct sales and technology.
Gary Castagna: Right. Rosemarie so, yes when we came out of the first quarter into second quarter, you do get into the seasonal change that does happen especially in environmental products that tends to be at a higher level at this point than other years and so there are some weather conditions that that impact. But in terms of where bringing further where Doug was at the technology portfolio that were coming along with these more advanced industrial waste containment areas and remediation areas, are now getting a bit more into the pipeline of these projects in these areas and we expect in the second half of this year that where last year we saw in the first half a couple of those projects. This year we will probably be more into the second half of this year as we begin to ship more of those and the goal again is to have those to be more on an ongoing regular basis, despite the seasonality. So, the key right now is to have more downstream coverage and that's where we have deployed more personnel at those decision makers at those key site owners to win those projects on a more consistent basis longer-term type contract arrangements and we're starting to see some of the fruit of that. So the environmental products will always have a better seasonality to it second and third quarter being peak. But at the same time we are now going to see more work in some of these advanced industrial waste areas that will even out the flow and not to mention the geographical expansion that we expect to see, especially in China and Asia where some of these same issues are front in environmental product technology. So, more work to be done but better as we see the year progressing in terms of where we will be shipping and where our backlog will be building.
Doug Dietrich: Rosemarie, maybe if I can before we move on just let me get a little bit deeper into the strategy behind what we're doing here with environmental products. The business historically has been heavily sales dependent to find projects around the world to keep the pipeline full. And some of the product lines are becoming more commodity and not that they're not good business for us in some cases but they're very competitive in terms of some of the typical landfill market. The strategy of the business has been and what we're developing here is moving into these higher technology products that apply to very difficult remediation type situations the riverbeds and we mentioned a couple coal ash and red mud containment. But the difference in that type of market if you're able to provide that technology to major multinational aluminum and energy producers around the world, if you're able to be able to supply that are consistent and high quality basis these as aluminum is made and energy is produced this is a consistent type of landfill market that we can project out of years right. So, we can look at three, four, five years out what's going to be developed we can be testing that and we can start moving into an area of more consistent type sales and project coverage from one that's more project oriented if you get it, you get it which is why historically. So, we're developing that we're removing that and that's when I talk about Resistex becoming more widely recognized and as we enter into China in the long-term lot of remediation activity we're having some trial activity start out. So this is what's going to be providing that shift of strategy in that business for the long-term.
Rosemarie Morbelli: That was certainly helpful, Doug. How large do you think Resistex can be in a couple of years?
Doug Dietrich: We projected Resistex could be over $30 million, $40 million in sales under itself over the next couple of years and I certainly think that China provides an enormous opportunity I'm not going dimension that for you know now pretty early days but that's what we've been planning on for over the next two to three.
Rosemarie Morbelli: Thank you. And then lastly if I may what are the anticipated revenue levels that you're looking at in 2018 from your expansion in both PCC and GCC and talc?
Doug Dietrich: I don't know some of the question [indiscernible] myself Rosemarie. I'm going to give you the all told in the expansions we're putting in place you've got -- you've probably got about $40 million to $50 million in revenue when it's fully loaded that's fully loaded revenue and capacity. Now again that's paper PCC takes time to ramp up but we're putting in some significant capacity expansions in the four, five that I mentioned.
Operator: And we'll take our next question from Silke Kueck with JP Morgan.
Silke Kueck: Hi, good morning. How are you?
Doug Dietrich: Hi good, Silke. How are you?
Silke Kueck: Good. What happened to operating cash flow in the quarter? So I remember that I think you topic was to may be have operating cash flow that sort of like similar in the first half where you did last year in the first half. And can you explain like, what’s happened to receivables whether you expect that to get better in the third quarter and what your target is for operating cash flow.
Matt Garth: Sure. As I said through the first half the year, operating cash flow was about $77.6 million a big driver of the working capital performance as you noted was accounts receivable which moved up. We do have a seasonal working capital build that we did see stronger this year and part of that is the mix of revenues that we get, the more we sell into Asia, terms in Asia are a bit longer than they are in the western part of the world. So, we are experiencing some of that. However you also saw good performance in us driving our AP levels higher to offset a bit of that. And again on the inventory line if you're looking there you'll see a bit of an increase and that is seasonal as well. As you look to the second half of the year, we do see for the full-year we're expecting total cash flow to be similar to what we delivered in 2016. So, the second half of the year will be stronger than the first half of the year and working capital will be a driver of that increase.
Silke Kueck: In your Performance Materials business so metalcasting, the largest component of metalcasting like U.S. and it's probably half of that and how much visibility do you have into that market and how close now are you tied to like U.S. auto build does it matter, does it not matter. And like what's sort of interesting specifically in the third quarter like the last two years it seems that profits in the second to third quarter always dipped a little bit. This year you expect it to be flat and so I was wondering how much visibility you have into the third quarter.
Doug Dietrich: Gary, why don't you take that?
Gary Castagna: Okay, it's okay, that's the right answer in terms of the typical trend domestically and we see that that the -- there will be a dip because automotive again if you look at it all the way through the metalcasting sales of our total sales which are in the quarter were approximately $75 million give or take now that probably is about a third of that number is driven by automotive. Of that third though, call it maybe 20% now is U.S. automotive so, you'll have the two big automotive driver will be China now and the U.S. So within that portfolio that that's the single largest underlying component. However in the U.S. we have seen some cyclical upturn in some of the industries that have been a bit down namely farm equipment, in civil infrastructure, and even some things like oil and gas. Those ancillary markets make up approximately 60% of the U.S. iron casting output. Okay. So, we've seen a bit of a good run there and actually visibility to your question is pretty good those industries do they have to be agile there's no doubt about it they move quickly but up and down anymore is not nearly that great. So that's the U.S. component. But the other key underlying component is the 48% increase in the sales in China that is both in the automotive, which is market share and as Doug mentioned the advancement in our product offering there that's winning that and on top of that we're also -- we have a specialized product line that's used mainly in steel foundry production and our production of that -- our sales of that product line in China grew substantially in the quarter. So we've got a pretty broad portfolio, no doubt largest mover is the U.S. automotive if you look at it but not a dollar for dollar big, big swing component on the total metalcasting sales.
Doug Dietrich: And I think the other thing I'd add to that Silke let's not forget India. India is now the second largest foundry market in the world just as the United States. We don't talk a lot about ourselves there because we're building it’s like we're building China. But it's grown substantially over last year it's not necessarily to the point where we're going to call it out as moving the needle but we are making some investments in expansions in India, we did last year so, this business is growing quite a bit you still at 11%. We do have visibility in North America, we're conscious of automotive and we're watching that but we have some strength in other markets as Gary mention and geographically that's really supporting it so, we're pretty bullish and positive on.
Silke Kueck: And lastly what's the state of PCC trends that were going to start off this year so this like the Xinhua paper mill that already come on and how far the Zhejiang paper plant?
Doug Dietrich: Well both of those we still have not -- we've not put in the investment I’ll give you little bit why. Couple of the -- two of the plants we signed those contracts couple years ago, Silke. The health of one of them has changed a bit and so we're watching to make sure that business is stable before we put that investment. The second one is a lot more interesting. We were ready to break ground and this is the Zhengda mill and the government has put a halt to that for the moment and the reason they've done that is because they're asking that mil to relocate. And so before we get into moving things around or before breaking ground or putting any investment in and we're not exactly sure when that will happen or if that will happen to be honest. We're waiting to see what the government is going to decide in terms of making that business that company that paper making company move their plant. So these are the, these are the challenges we sometimes face in China but those are two, those are two the latter one being the bigger I think of the two in terms of our timeframe. We don't have a timeframe for you on that right now.
Silke Kueck: Okay. So like growth in Asia in paper PCC is mostly from the Sun Paper mill.
Doug Dietrich: It's the 250,000 tons we've put in that's ramped up so, the coding satellite, the filler satellite and the NewYield facility that we put there. And that continues to consume more as we refine the product and create more value.
Operator: [Operator Instructions]. And we’ll take our next question from Mike Sison with Keybanc.
Mike Sison: When you think about Specialty Minerals in 3Q you talked about better volumes in paper PCC and some sequential Kaizen minerals. How does the momentum in paper PCC look heading into the fourth quarter given that China continues to do well and you've already lapped some of the North American closures.
Doug Dietrich: I think it looks really good. Let me how about D.J. Monagle talk a little bit about what we see in paper and then give you a little bit more in performance as well.
D.J. Monagle: Glad to. So, Matt has just addressed just the seasonal shift they you're seeing in Performance Minerals. But on the paper side as were increasing just the math that associated with the North America volumes, Doug had highlighted earlier we've got several outages that happened in North America at typically a low time they come on stronger in the third and fourth quarter. And then in China in particular our business with Sun as well as our progress with the other base that we've got in China particular but across Asia continues to our allow us to provide more product in all their -- across all of their grades so we continue to see growth there. We announced a 165,000 tons in Indonesia and they'll be coming on in 2018 so you're going to see incremental growth around the world in the third and fourth quarter probably a little bit more in China, in that fourth quarter, and then Asia starts kicking in more in the first and second quarter of 2018. And Doug highlighted earlier that the pipeline is pretty robust in Asia it crosses -- it those across a lot of the traditional products but it also touches base with that new product portfolio that Doug was highlighting. Its products that are addressing some environmental concerns, we have announced that is NewYield. It is further penetration that we're hoping into packaging as well and so you'll see that that robust pipeline that we're trying to deploy in Asia is our traditional filler products but it's also got some new technologies in there as well. It's just according to plan that we've been pursuing.
Mike Sison: Okay, great. And I know it's a little bit early to think about 2018 but given the momentum do you think specialty minerals is potentially on track to generate some earnings growth next year?
Doug Dietrich: I do, in total yes. A number of the expansions let’s say half but more the majority of the expansions I mentioned are in specialty minerals. Those are the more -- those are the significant ones, so I think that what we're putting in place and what we're installing in both performance minerals and paper is going to really be behind and we feel that growth. I think when you look at the performance materials business, we also have some expansions, talk about them today in Europe, we talk a lot about consumer products well when you look at the things that we're working on with our pet care, with fabric care, and also with some filtration. And when I say filtration, it's not oil and gas, we're talking about edible oil filtration and that's in a consumer product, we’re putting in some expansions there. So we’ve got a number, we're also putting in expansion to support our growth in China in the blended products and I mentioned India, so a lot going on. There's a lot going on in the company there's a lot going on in terms of what we're putting in place capital wise to support growth, real growth that's there. And I think even and we talk a lot about our minerals businesses but I’d want to put you, we’re are not doing that in Refractories and Energy Services, we've got some really good technologies that we're deploying and that's got a high durability product, that's really promising, that is starting to grow later this year. So I think the reason for kind of why I was highlighting some of this on the technology portfolio was trying to get a little bit deeper inside of all the stuff that's going on, I know there is some ups and downs but we are making headway on a lot of new technologies, they're going to -- they’re coming out now, they're going to be coming out next year and with the capacity expansions I can't give you a number right now, we’ll give you that little bit closer to ’18 might but, but I think 2018 setting up for a really nice growth year for the company.
Operator: [Operator Instructions]. And there are no further questions in the queue at this time.
Doug Dietrich: All right, thank you very much and once again Rick, I want to say thank you for all the years of service to the company and we will make sure we keep in touch with you, right even if we don't hear voice in the call.
Rick Honey: All right, thanks very much. Appreciate it.
Doug Dietrich: Have a good day. Thank you.